Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Tsakos Energy Navigation Conference Call on the Fourth Quarter and Year-End 2020 Financial Results. We have with us, Mr. Takis Arapoglou, Chairman of the Board; Mr. Nikolas Tsakos, President and CEO; Mr. Paul Durham, Chief Financial Officer; and Mr. George Saroglou, Chief Operating Officer of the company. At this time, all participants are in a listen-only mode. There’ll be a presentation followed by a question-and-answer session.  I must advise you that this conference is being recorded today Wednesday 24, March 2021.
Nicolas Bornozis: Thank you very much, and good morning to all of our participants. I’m Nicolas Bornozis of Capital Link, Investor Relations Advisor to Tsakos Energy Navigation. This morning, the company publicly released its financial results for the fourth quarter and the year-ended December 31, 2020. In case you do not have a copy of today’s earnings release, please call us at 212-661-7566, or e-mail us at ten@capitallink.com, and we will have a copy for you emailed right away. Please note that parallel of today’s conference call, there’s also a live audio and slides webcast, which can be accessed on the company’s website on the front page at www.tenn.gr. The conference call will follow the presentation slides, so please we urge you to access the presentation slides on the company’s website. Please note that the slides of the webcast presentation will be available and archived on the website of the company after the conference call. Also, please note that the slides of the webcast presentation are user controlled, and that means that by clicking on the proper button, you can move to the next or to the previous slide on your own. At this time, I would like to read the Safe Harbor statement. This conference call and slide presentation of the webcast contain certain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are concerned that such forward-looking statements involve risks and uncertainties, which may affect TEN’s business prospects and results of operations. And at this moment, I would like to pass the floor on to Mr. Arapoglou, the Chairman of Tsakos Energy Navigation. Mr. Arapoglou, please go ahead, sir.
Takis Arapoglou: Thank you, Nicolas. Good morning and good afternoon to all and thank you for joining us today. I hope you’re all staying safe and healthy. Despite the challenging market conditions, 2020 proved to be a year of strong operating profitability for TEN. This allows us to continue paying dividends or repaying yet another issue of preferred stock, reduce bank debt, and meet all our other obligations. In addition, we sold all the tonnage to maintain a young fleet and were able to take non-cash corrective action on certain vessels. In essence, nothing new or different from what TEN has been consistently doing every year since inception. Today with a substantial cash position, accelerated specialist survey is to best utilize poor market conditions, and have the fleet on spot. TEN is perfectly positioned to benefit from the anticipated recovery in the global economy. And the resulting release of pent-up demand for oil products.
Nikolas Tsakos: Thank you, Chairman and good morning to all of you on the other side of the Atlantic and good afternoon to you here in Europe. And thank you for joining our call. It was exactly a year ago to the date where our Chief Operating Officer set the exact same date for our call. When we were talking back on the 24th of March of 2020 we were in the beginning of this pandemic and everything that looked very, very new, very strange and we were all at a loss.  A lot has gone under the bridge since then. Unfortunately a huge loss of life worldwide. So, it is really a different world than we entered exactly a year ago, our call today. However, as the Chairman said, we were able to navigate these difficult times maintaining as hard it was a steady hand on the wheel. And we are coming out of what has been a very turbulent period in very choppy waters or stormy waters to say the least in calmer waters helped a lot by the vaccinations that are happening all over the world. In my last call in November, when we announced the nine month results, I was hoping that we would not have hit a third or whatever the number is, new wave of lockdowns around the world. Unfortunately, it has happened. It's still happening in some parts of western world. Things are becoming more difficult as far as the pandemic. However, at the end of the tunnel, we have the light, which are the vaccines. A big percentage of the population, hopefully, we will be vaccine by the end of this and the next quarter. This miracle, this medical miracle that happened in a very short period of time has given the world a new go around and this is something we are seeing in the rates as of the beginning of the year. 2020 was a roller coaster year. However, things are looking more positive. The natural supply and demand, the equilibrium right now is very tight. And we show it even last night, and this morning, when the Suez Canal and this was not April Fool's Day event, it was a real closure. And it's still partly closed of the Suez Canal that has put the market through the roof, mainly in futures, right. So, we have been able to renew affiliate as Mr. Arapoglou, our Chairman, we sold seven vessels, we got a new environmental friendly four vessels, and in the meantime, added two new buildings. All of the six new vessels that we have already delivered or will be delivered are  long accretive rates. In the last quarter, a lot of attention has been made to re-charter nine vessels, three of them being our LNG.
George Saroglou: Thank you very much Nikolas and good morning to all of you joining our earnings call. We report today a profitable year for the 2020 operations. In fact, a 40% increase in profitability from 2019. 2020 has been a rollercoaster year for the tanker industry and the world because of the COVID-19 pandemic and its economic, social, and health-related percussions. We continue to successfully navigate the logistic and regulatory challenges of COVID-19 with no impacts to our operations so far. This has been the biggest challenge of the last 12 months and continues to be the number one priority. Because of the pandemic, the lockdowns, border closures, and reduced air line capacity, the shipping industry has experienced significant challenges with timely crude changes. We continue to safely perform group changes, but problems with restrictions and logistics remain as different parts of the world open and close their borders, synchronously following . We want to take the opportunity to thank one more time all our seafarers and the onshore personnel for their hard work, patience, dedication, and professionalism during this unprecedented time. We will continue to work hard to normalize crew changes and bring seafarers safely back home to their families without disrupting the operational readiness and efficiency of the fleet. This has been and will continue to be the number one priority until crew changes and crew repatriation return to the pre-COVID normality.
Paul Durham: Thank you, George. As we've been emphasizing, TEN had a profitable year in 2020 generating in total net income of over $59 million before non-cash charges, mainly vessel impairments. Revenue in 2020 rose to an annual record $644 million for TEN, mainly due to the strong demand for floating storage in the year. We had 94% utilization in 2020 and even 91% in quarter four, which are good signs given that we had nine dry dockings in the year.  Average daily TCE in the year was $23,600, a respectable average compared to market rates, boosted by profit share totaling $47 million in the year. EBITDA increased to $267 million, of which $33 million was in quarter four, both significantly contributing to cash reserves by the year-end. Despite the $50 million redemption of the C Series preferred stock. In quarter four, revenue fell by $44 million, compared to the prior quarter four indicating a weakening of the market in the latter part of the year, and contributing to a quarter four net loss for TEN of just over $14 million, before non cash impairment of over $15 million in the quarter. However, even given these conditions, TEN with half the fleet on time charter successfully avoided potentially significant losses. Our time charters do provide the cash to cover nearly all OPEC’s, G&A, and finance costs with vessels on spot providing a further $12 million to cover the shortfall. Generally, our costs were kept at stable levels, expense categories being similar to the previous year and quarter, despite dry dockings with average daily average daily OPEC per vessel for the quarter and year up slightly to $7,800, partly due to dry dockings and a weaker dollar. Quarter four finance costs fell by $4.5 million with interest falling nearly $5 million, mainly due to lower interest rates, our cost of debt remaining below 3%, and due to reduced loan margins and shrinking outstanding debt, while positive bunker hedge valuations rose by $4 million. We sold five vessels to third parties in 2020, generating $94 million, and prepaid $54 million of loans, freeing $40 million of cash. We shall be looking for further sales to consider over the next 18 months.  We have an LNG carrier and shuttle tanker being built for a total of over $280 million, of which we have paid $65 million to date, and have a range related pre-delivery financing at excellent terms for the ships, as both have charters that will generate lucrative cash flow from delivery. Another $384 million net in scheduled repayments and loan pre-payments were made in the year, while new debt for delivered vessels in 2020, and recent pre-delivery debt and loan refinancing amounted to over $340 million. In  bringing total debt down to $1.51 billion, with net debt remaining at 48%. Given the current state of the tanker market, it may seem difficult to expect any major recovery in the near-term, but there are in our opinion, some strengthening positive  as both George and Nikolas have said, on the horizon. So, we do expect the outlook to be positive from mid-year on and in the meantime, our time charters will hold the fort just as they did in quarter four, and are doing in quarter one. And this concludes my comments. So, I'll pass the call back to Nikolas.
Nikolas Tsakos: Thank you, Paul for your detailed analysis of the results, and as we said, we’re happy to have – this is going to be our – next year is going to be our 20th year as a public company on the New York Stock Exchange, and we hope we will maintain our continuous dividend payment and profitability as we have always done and it seems that the prospects going forward are quite positive for a very strong recovery similar to what we are seeing in other segments of the industry. And usually, the tankers follow dry cargo and the container market and this is happening as we speak where we see and present a high level for demand as infrastructure building is going back and it's happening. The same is evident a lot on the product careers, a lot of refineries are shutting down in the western world and more demand for products is required around the world. A lot of coal mines are being reduced in places like China, and that helps our LNG and fuel inputs in this vast markets. India, at the same time, is importing more and more from the west or at least from places like West Africa. And it's not so dependent anymore on the Middle East, increasing tonne-miles as we speak, as we go forward. And the normal contenders like Libya, who has been a big participant of the Mediterranean market has increased since our last presentation in November, another 16% it's . So, everything  and more importantly than anything else is the  supply, very small single digit supply coming in over the next two years as we speak. We are looking at a significant  here sooner rather than later. At the same time, we are seeing large conglomerates like Equinor, which is one of our largest also clients coming in and starting to work on what they say is the largest so far oil field in the North Sea, the , which is another side and that product is going to be there for the foreseeable future for the limited amount of vessels that are also low inventories. As we as we speak, people have been burning the cheap inventories. And I think there will be a significant uplift as we go forward. And with this and hopefully safety for everybody we will be seeing better times. We have not lost a single day in our renewal program. I think as Paul mentioned, we replaced the seven vessels are taking in six brand new vessels for already earning accretive rates for us, two are already charter and six are shuttle tanker and our LNG.  So, we have tried to keep a . The security of our first – of our shippers comes first the mental health, the physical health, we had within 3,000 seafarers around the world, we had, I would say less than 1% COVID cases and we have been successful in containing those. It is a struggle every day, it is a struggle to make sure that our people are safe on board then we're not creating a COVID bubble.  And it's very important, I think for all the authorities around the world to make sure that seafarers are considered first line receivers of the vaccines. We have people having to wait for a month to get their vaccines before they go on board. And this should not be the case, they should be able to go on board provide the service to the global economy without having to be penalized or put themselves or their colleagues at risk. It's a very big issue. And we're trying to support various authorities and governments to make sure that this will go on and it will make our life and the life of our seafarers much, much easier. And it will significantly reduce operating expenses, because in order for us to be able to repatriate many times our long serving seafarers we have to navigate the vessels physically into places like South Africa or the Philippines, where there are open borders for them and they are received in a humane manner. And with this, I would like to open the floor for any questions. Thank you very much.
Operator: Thank you.  Your first question today comes from Randy Giveans from Jefferies. Please go ahead. Your line is open.
Randy Giveans: Hi gentleman, how is it going?
Nikolas Tsakos: Hello Randy. Very well, looking very forward to see you face-to-face one day soon, with or without a mask that is.
Randy Giveans: That would be good. Come to Houston, no mask required. But if I make it to  I'll let you know. Question around your charters, can you provide some color on the nine vessels recently chartered both the rates and the ?
Nikolas Tsakos: Yes. I think we have renewed four of our product careers for another three years to that existing charter with a major state oil company based on our typical accretive minimum and profit sharing arrangements. Then, of course, we have taken – we have used this period of time to charter out and I was very happy to make sure that we chartered about our LNG’s from anywhere from 10 years without directly either from the shipyard or from the last delivery call. So that, as you know on NLG it could, if you have a vessel on the spot it could cost millions and millions to your bottom line. And we're happy that we do not have to spend any of that, exactly the opposite of the ships are earning immediately after their current deliveries accretive rates. And on top of that, we have conventional suezmax and aframax on yearly charters, extension of charters and our shuttle tanker for a very long period of time. So, I think that's the – a very quick rundown of the nine vessels that we have renewed in the first quarter because we have seen the signs of the charters to .
Randy Giveans: Got it. Okay. And then, next question, if you turn to Slide 7, just looking at kind of the dividend payouts, we've seen this kind of semi-annual dividend bounce around lately, you know, how do you do this? How do you do the dividend going forward? Right. I know you kind of trended now to $0.10 a share, what was the thought process behind that and kind of outlook from here?
Nikolas Tsakos: Well as you know, we are in a very, you know, we are very much dividend driven as an organization or the management and then the family owns a very large part of their stocks or dividend for us is very, very important. And so, we're always pro-dividend and we try not to miss any of our dividend payments. We believe this is the best way to reward. And I think as George Saroglou mentioned, in the 20 years of our – being 20 years next year on the stock exchange, we will have paid, hopefully by then in excess of half a billion dollars of dividends. And if you add another $160 million of buybacks, we would have returned between dividends and buybacks more than $650 million to the shareholders.
Randy Giveans: Got it. And then I guess lastly with 1Q largely over, right, how are rates compared to 4Q and where do you expect rates to go from here? Obviously, the forward curve is pricing in some strength, time charter rates are well above spot rates? Can you give some kind of thoughts on the outlook for the next 3, 6, 9 months?
Nikolas Tsakos: I have to say, I think we spoke together in November. And I mentioned that we are hoping to see a much better first half depending on any additional lockdowns. So, in one hand, unfortunately in places like Europe, we are seeing severe lockdowns happening again, that are putting a delay to the full recovery of our rates. On the other hand, we have the positive miracle of the vaccines that I think came out in a very timely manner. Big percentages of the populations are being vaccinated. We're hoping to have at least an open summer around Europe and I'm sure the United States the case is the same. We are glad that the majority of the Fareast that has been able to control the virus in the last couple of quarters much, much better. Although we are facing another, hopefully the last uphill battle with the lockdowns, I think we could turn a corner as early as next quarter, which is next in a couple of weeks. And we saw this, we saw this happening with all the happenings today with – and I have to say, we did not organize for the closure of the Suez Canal just because it was our call. It was an incident which is not – it will have some delays, but we saw how the futures and the spot market rows adjust in that. So, the market is well balanced, April/May, for sure by June when our annual meeting is and hopefully we will see you , we will be celebrating in a much better market environment.
Randy Giveans: Thanks so much.
Nikolas Tsakos: Thank you.
Operator: Thank you. 
Nikolas Tsakos: Well if there are no more questions, I will ask our Chairman to give his wise words and I will close after that.
Takis Arapoglou: No wise words Nikolas. Thank you. Thank you all again for joining. And we all look forward to 2021 being a great year as well, for the company and the stock. Thanks again.
Nikolas Tsakos: And from my side, I would like to wish everybody a very healthy, safe, and prosperous. 2021. All of us going back to normality, and you know with all the lessons that we were taught, as I said, exactly a year ago, our COO gathered us here for last year’s end of the year results. Exactly a year ago, things were very, very different. We have all grown through this. We navigated a steady ship in very turbulent waters. We have maintained and I'm very proud of our renewal program with the new ships  the seven assets, took delivery of four already without losing almost a day in a very difficult environment. Those vessels have already been earning accretive rates which you see to the bottom line. Right now, two more vessels are being built for us. Hopefully they will be delivered within this year, one in 2021 and the next one in 2022, both of them on long-term charters. We're also looking at the opportunities out there. I would like to thank all in the  for keeping a flawless operation regarding the safety of our seafarers. And I think this is a priority for us. Everybody in the group is to make sure that we have – we wake up every morning on a . And with that, looking forward to speak to you next quarter in a very, very much better environment. All the best from all of us here in Greece and Happy Easter and holidays to all. Thank you very much.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may all disconnect.